Operator: (Operator Instructions) Welcome to the Corn Products 2008 Fourth Quarter and Full Year Earnings Call. At this time I’d like to turn the call over the Director of Investor Relations Mr. David Prichard.
David Prichard: Welcome to Corn Products International's conference call to discuss our 2008 fourth quarter and full year financial results and our 2009 earnings guidance and outlook both of which were announced in press releases issued earlier today. I'm Dave Prichard, Vice President of Investor Relations for Corn Products International. Joining me today to lead the call are Sam Scott, our Chairman, President and Chief Executive Officer; and Cheryl Beebe, our Vice President and Chief Financial Officer. Now this is an open conference call that’s simultaneously broadcast on our website at www.CornProducts.com. The charts for our presentation this morning can be viewed and downloaded from our website and they’re always available about 60 minutes ahead of our conference call. Those of you using the website broadcast mode for this conference call are in listen only mode. Sam Scott and Cheryl Beebe will deliver this morning's presentations and they will indicate as they move from chart to chart, so those of you using our slides from the website can easily follow along through the two presentations. Now I’ve just shifted to chart two, which is our agenda. Cheryl Beebe will present the financials for the fourth quarter and full year 2008 with appropriate analysis and flavor. Following that, Sam Scott will review our 2009 outlook and guidance before we move to your questions. I’ve now shifted to chart three which is our forward looking statement. Our comments, within this presentation, may contain forward looking statements. Actual results could differ materially from those predicted in those forward looking statements and Corn Products International is under no obligation to update them in the future as or if circumstances change. Additional information concerning factors that could cause actual results to differ materially from those discussed during today's conference call, or in this morning's earnings and guidance press releases, can be found in the company's most recently filed Annual Report on Form 10-K and reports on Forms 10-Q and 8-K. Finally, statistical and financial information and reconciliations of non-GAAP numbers from this presentation are also available on our website at www.CornProducts.com, and as you will see later, they are included as an appendix to this morning's slide presentation. With that, I am now pleased to turn the conference call over to our Vice President and Chief Financial Officer, Cheryl Beebe.
Cheryl Beebe: Starting with the fourth quarter, earnings per share at $0.61 is even with last year. This quarter includes approximately $0.09 earnings per share for the termination fee paid to Bunge. As I discussed on the third quarter call, we expected the fourth quarter numbers to reflect higher gross corn costs, lower co-product values and volatile currencies and that the fourth quarter would not be a repeat of the outstanding third quarter earnings per share of $1.15. Looking at the currency movement in the quarter the US dollar strengthened fourth quarter ’08 versus fourth quarter ’07 considerably against the various currencies used in our global business, i.e. the Brazilian real devalued 28%, the Canadian dollar 24%, the Pakistani rupee down 31% and the Korean won at 48% to highlight a few. On the co-product front, corn oil market pricing declined by almost $0.30 per pound versus the third quarter of 2008 and last year’s fourth quarter. Feed and meal prices also dropped but not as dramatically. Gross corn costs were higher than last year reflecting our normal hedging practices. With that as the background let’s move on to the charts. I’m starting with the summary income statement for the quarter ended December 31, 2008. Net sales are up slightly from last year $900 million versus $895 million or 1%. Gross profit decreased 1%, $141 million versus $143 million last year. The gross profit margin was 15.7%, 30 basis points lower than a year ago. Gross corn costs were up on a dollar basis by about 4%. Total energy costs declined for the first time in several years, 6%. Operating expenses were up 3% or $2 million. As a percentage of net sales, operating expenses were slightly lower than last year. Net financing costs at $5 million are down 41% versus last year or about $4 million. We had an FX gain in the quarter versus last year of almost $6 million. Excluding the FX gain net financing costs would have been about $12 million versus last year’s $9 million. The increase in gross interest expense is due to higher debt levels and lower interest income. The effective tax rate for the quarter was 17.2% versus 34.1% last year and reflects the changes in operating mix and discrete items in the quarter which reduced the estimated annual effective tax rate from 34.5% used in the nine month results to the full year 32%. Net income remained unchanged at $46 million from last year. Weighted average shares outstanding in the quarter were 75.6 million shares down from 76.1 million last year. Diluted earnings per share at $0.61 is unchanged from a year ago. Turning to chart six, net sales by geographic segment we see the regional breakout of the net sales. North America’s net sales increased 11% reflecting the stronger year over year pricing. South America and Asia/Africa net sales declined 11% and 18% respectively reflecting the fourth quarter currency devaluations and the weaker demand impact on volumes. Turning to chart seven, we can see the impact on net sales from volume -5.3% or $47 million. Volume was negative in all three regions. Price and product mix held very well at 16.4% or $147 million and the FX impact a -10.5% or $95 million. The business model continued to reflect the price and power we have had in the international markets over the last several quarters as all three regions posted improvements in the price mix line. On a dollar basis we recaptured in pricing mix about 70% or $32 million out of the $46 million devaluation impact on net sales in South America. In Asia/Africa we were able to recapture the FX devaluation on the net sales. Traditionally we’ve been able to recapture the devaluation and volume impact through pricing in three to six months. With the uncertainties surrounding the global economy we are forecasting this will take longer in 2009. Chart eight; operating income by region we see North America’s operating income increased 3% or $2 million. South America was up 1%, Asia/Africa declined 70% or about $6 million. South Korea continued to weaken during the fourth quarter on higher corn costs and weak demand. Approximately 80% of the regions operating income decline is attributable to the South Korean business. We continue to work through the issues. Corporate expenses were up 13% or $2 million. Net next chart nine is the estimated source of diluted earnings per share for the quarter. Changes from operations were a -$0.15, $0.13 from foreign currency devaluations and $0.02 from lower margins. Non-operating changes reflect $0.13 for the lower effective tax rate, $0.03 from lower net financing costs offset by the -$0.01 from higher minority interest. Moving on to the full year, it was quite a year. Looking back a year ago we were cautious about the business’s ability to pass on unprecedented corn costs. The discussion was focused on the price of corn and would there be sufficient corn supply. Wow! What a difference a year makes. The business performed exceptionally well and we are delivering a record year at $3.52 per share. Looking at chart 11, net sales hit $3.9 billion up 16% from last year or $553 million. With the fourth quarter currency devaluations we did not quite make the $4 billion net sales mark. Gross profit increased 20% to $705 million up $119 million from last year. Margins as a percent of net sales increased 60 basis points to 17.9%. Operating expenses were up 10% or $26 million. The fees associated with the merger including the $10 million termination fee are estimated at about $16 million. Net financing costs were down 30% or $13 million. Net interest expense was basically unchanged at $38 million. The net change in foreign exchange gains and losses from last year was almost $13 million. The annual effective tax rate is 32% versus 33.5% last year and reflects the operating mix and discrete items in the fourth quarter. Net income at $267 million is up 35% from last year or $69 million. Chart 12 is the net sales by geographic segment. North America’s net sales grew by 15% to $2.370 billion. South America’s net sales grew 21% exceeding $1 billion for the first time and Asia/Africa’s net sales grew 10%. As we will see from the next chart the sales driver was strong pricing and mix. The impact of pricing mix on the total company’s net sales was $678 million. The full year impact on net sales for the total company from higher corn oil, feed and meal prices were $235 million. The positive co-product impact was derived in the first three quarters of 2008. The impact of weaker volume was a -$117 million and foreign currency was -$8 million. Chart 13 is the net sales variance analysis. Total company net sales increase of 16.3% was attributable to a 20% increase in price/product mix or again the $678 million. Volume was down across all three regions for a total decline of 3.5% or approximately $116 million and the impact from foreign exchange was -0.2% or $9 million. The North American sales increase of $318 million was attributable to strong pricing and mix of roughly $373 million. Volume contributed -$57 million and the FX impact was negligible. South America’s net sales increase of $195 million was also led by strong pricing and mix which contributed $178 million. Stronger local currencies contributed $47 million and the decline in volume contributed -$30 million. The Asia/Africa net sales increase of $40 million followed the same pattern on strong pricing, $127 million but the impact of the currency devaluation’s especially the won and the rupee was -$58 million and volume decline was $29 million. Chart 14 is the operating income by geographic segment. The improvement in year over year operating income was let by the North American businesses which increased 34% or $79 million. South America followed with a 32% increase in operating income or $36 million. Asia/Africa declined 15% as the South Korean business continued to struggle with higher corn and freight costs, currency devaluations and soft volume from the slowing South Korean economy. The corporate expenses rose 12% or $5 million and we have broken out the costs for the merger of $16 million. Turning to chart 15 the estimated sources of diluted earnings per share for the year, again we see the impact on pricing and mix on the margins, $0.75 out of the $0.93 for the year or 81%. Within the margin number we estimate about $0.40 came from the impact of co-products on the company’s net corn costs. Based on current market pricing this will not be repeatable in 2009. Below the line we had $0.11 from lower net financing costs, $0.08 from the lower effective tax rate, $0.03 from lower outstanding shares offset by a -$0.04 in higher minority interest. Chart 16 highlights the cash flow for the 12 months ended December 31st. Cash provided by operating activities was -$79 million and reflects the change in working capital of $458 million. The working capital increase reflects the increase or change in the margin accounts of approximately $295 million as well as higher receivables, inventory values and lower accounts payable and accrued liabilities. The change in the receivables reflects the increase in sales while the inventory reflects the impact of higher costs versus 2007. Our futures positions are reflective of our book business for 2009 and in some cases 2010. The change in the margin accounts is reflective of the dramatic drop in corn market prices versus the time in which our customers chose to book their business and we hedged those positions. As the contracts are fulfilled in 2009 the margin account should decrease and would generate a positive impact on the working capital cash flow. Capital expenditures for fixed assets are within the range we spoke of on the third quarter call at $219 million. Dividends paid equaled $42 million, issuance/repurchase of common stock netted to $10 million and net debt increased $257 million. Chart 17 shows the key metrics for the period ended December 31. Debt to capitalization remains good at 36.1% the change from 2007 is due to the increase in debt. Debt to EBITDA on a trailing 12 month basis remained strong at 1.5 times. Operating working capital is $439 million or 11.1% of net sales and reflects the change in margin accounts receivables and inventories and is slightly lower than last years 11.4%. Return on capital employed is 13.1% versus last year’s 11.4% reflecting the increase in operating income. Net debt at $759 million reflects the increase in debt to fund working capital. Total debt at December 31 was $866 million and cash was $107 million versus $649 million in debt and $175 million in cash a year ago. I will end the presentation with a few comments on the 2009 liquidity outlook. We have a bond maturing in August of this year for about $180 million. We have more than sufficient liquidity to pay off the bond if we choose. We are an investment grade company with access to the bond market. While no promises are being made I can assure you that this team has managed through challenging times before. We are prepared to deal with 2009 and whatever it may bring. With that I will turn the call over to Sam.
Sam Scott: We are pleased to have reported our third consecutive record year in 2008 with net sales, operating earnings, earnings per share and return on capital employed. In early 2004 we laid out to the street our new five step pathway strategy along with five key financial metrics that we wanted to reach or exceed by the end of the five year period in 2008. I am pleased to note that we have met or exceeded the financial targets. Two thousand eight truly was an exceptional year as our company continued to demonstrate that we can perform well in a climate of unprecedented volatility and as the year progressed deepening recessionary and credit pressures that ultimately spread across the world. We have been able to navigate this change in challenging global marketplace with discipline and much success to date. As our results indicate our long term outlook remains bright. Turning now to chart 18, our 2009 outlook, we announced this morning our expectations for diluted earnings per share this year in the range of $2.10 to $2.60 versus $3.52 in 2008. At the same time we are forecasting to reach cash flow from operations this year of between $450 and $550 million. One of the reasons for our lower earnings per share outlook in 2009; first we expect a rather major reduction in co-product credits year over year most for corn oil which would in turn significantly increase our net corn costs versus 2008. Other factors include the anticipated effect of foreign currency devaluations especially in South America and our general uncertainty in lack of visibility over volume levels and pricing strength in our international businesses in this unprecedented global economic climate. For 2009 our US and Canadian businesses once again achieved higher contract pricing across the entire starch and sweeten book of businesses. Combined with our grain related or feed based business and multi-year contracts overall pricing in 2009 for our book of business has increased about 10% in the US and Canada. We do not expect this improvement to fully offset higher corn costs. Internationally due to the worldwide economic environment we find ourselves in we believe we are being prudent and appropriately cautious in predicting it may take longer than normal to improve pricing and volumes in our international businesses to offset currency devaluation. In addition, we see another tough year for our Asia/Africa region because of continuing difficulties in our South Korean business which we expect to again have lower results in 2009. While our 2009 guidance is not as strong as our 2008 performance it nonetheless would represent our second or third best year for earnings ever. It also is very important to emphasize a major strength in strategic advantage we continue to have in 2009 and that of course is our very healthy balance sheet and continuing excellent liquidity which is not the case with so many companies in this global recessionary climate and credit crunch. We feel good about this strong balance sheet and cash flow position at this time. We expect strong cash flow from operations of $450 to $550 million this year. The key point here is that we should have and it should give us substantial flexibility and choices. Corn products will be operating from strength in 2009 and we will remain focused on deploying our cash to maximize long term returns for our shareholders. We’re adjusting appropriately for today’s business climate. We plan to hold our 2009 capital expenditures to between $125 and $150 million compared with $219 million in 2008. It’s important to note that much of the 2009 capital spending represents projects continued from 2008 and our maintenance CapEx is about $50 million per year. We are being prudent at this time and we’ll continue to monitor international growth rates carefully to see when we can and should accelerate our growth initiatives in a number of our countries. In closing, looking at chart 19, 2009 will obviously be a challenging year. Our management and employees know this are working to meet the challenges head on. We are proud of what our company is accomplishing and remain excited about our long term prospects. We have a strong weapon arsenal that is our excellent balance sheet and substantial cash flow. We believe we can continue to execute well with our prudent business model and we have the right strategy, markets and products to perform well and deliver long term value. With that I’d be happy to take your questions.
Operator: (Operator Instructions) Your first question comes from Heather Jones – BB&T Capital Markets
Heather Jones – BB&T Capital Markets: I was wondering what the earnings impact from the volume declines was for the quarter? I don’t know if you said that and I missed it.
Cheryl Beebe: We didn’t do it on the EPS, it’s blended in the margin, it’s on the net sales variance it was negative across all three regions 5.3% down for the quarter with the big drop being in Asia/Africa reflecting the decline in the South Korean business that was 17.7%. South America was 5.7% and North America was 2.3%.
Heather Jones – BB&T Capital Markets: As far as the foreign currency impact I believe you said that normally is three to six months but expect it to take longer this time. What are your expectations as far as timing and do you anticipate over the next one to two years being able to fully recoup the hit from currency?
Sam Scott: Over the next couple of years for sure and perhaps sooner than that. Our uncertainty right now normally as we’ve said we recoup the foreign exchange devaluation through a combination of two issues. One is pricing obviously and the second one is as currencies devalue in our countries both we and our customers can export products out of those countries. When the world economy is what it is today and we have so many devaluations there’s really no place for us or our customers to export to. As a result of that we have to work our way through that. We believe it’s going to take some time number one to price higher and we also believe it will take some time for those volumes to come back. As they do then we will be able to recoup those currency devaluations, or expect we will.
Heather Jones – BB&T Capital Markets: Your guidance does that reflect what you’ve already been able to recoup through pricing? Just to get an idea of what level of recovery are you anticipating in your guidance.
Sam Scott: The guidance has obviously some price in it but not a lot. In this economic environment raising prices in the international market is not going to be that easy. Obviously if things turn a little faster we’ll be able to do more. Right now we’re forecasting a pretty bleak picture right now in the rest of the world.
Heather Jones – BB&T Capital Markets: Your cash from operations you mentioned the $180 million maturity coming due. It works out to roughly $5.00 a share free cash flow. What do you intend to do with that?
Cheryl Beebe: I hope we find some nice acquisitions. We have, as you see in the press release allocated $125 to $150 million in the capital expenditures. If volumes are slowing down on a global basis then we’re going to slow down the capital investment for the base business. I would very much, as would the rest of the team given the opportunities that we expect to see out there have investments in acquisitions.
Sam Scott: We will manage it the way we’ve managed it for the last many years with the balancing acquisitions, capital spend, debt pay down and share buy back in the appropriate manner.
Heather Jones – BB&T Capital Markets: That was where I was going. Given where your shares are today would there be any consideration of expediting the share repurchase. I think you have roughly 4.5 million shares outstanding on your authorization.
Sam Scott: Yes we do and we will monitor that and look at it as I said with respect to that as well as the other three to four options we have for the cash.
Operator: Your next question comes from Christine McCracken – Cleveland Research
Christine McCracken – Cleveland Research: A quick question on what impact the disappointment in the corn harvest in South America might have on your South American business? Obviously there’s an ongoing drought there it looks like obviously reduced yield expected. How do you look at that as you look into next year?
Sam Scott: I don’t think it will have much impact on the South American business. It could have an impact on the global corn market over time and over the next six to eight months which could certainly impact prices of corn throughout the world. In our numbers we have taken that into consideration.
Christine McCracken – Cleveland Research: In terms of the North American crop now with prices being pretty low there’s a pretty low incentive, for farmers to plant corn. Just curious what you guys are expecting in terms of planted acreage for the coming year in terms of your guidance.
Sam Scott: We’re pretty close to what the general forecast is out there, probably a reduction of anywhere between four and six million acres. Then your guess is as good as mine at the yield. I think there’ll be perhaps a little less fertilizer used. Right now we see the demand side off because of ethanol, on the supply side off because of reduced acreage here and the problems you mentioned in South America. The actual number is up in the air. Any hiccups of any sort could certainly cause another spike in corn prices as we go forward.
Christine McCracken – Cleveland Research: You guys have obviously have bought your corn so that would actually be a net benefit if co-products traded on higher corn.
Sam Scott: Yes, if in fact we were to see corn prices move up right now one would expect co-products would respond the same way and that would be beneficial to the business.
Christine McCracken – Cleveland Research: In terms of the co-products you’ve seen a 30% rebound or so in the last month or so. I’m having a hard time coming up with a rationale as to why the stronger than expected move relative to some of their competing feed grains when especially when we look at the livestock industry as being relatively weak.
Sam Scott: You said you saw a 30% rebound in co-product prices?
Christine McCracken – Cleveland Research: In terms of current cash markets.
Sam Scott: Certainly we’ve not seen that in oil.
Christine McCracken – Cleveland Research: Sorry, just on corn gluten feed and meal.
Sam Scott: I can’t say that we’ve seen a 30% bounce back in those numbers. The published numbers may be there but the actual numbers are not. We’re not feeling that right now. Unless something changes in the short term we aren’t forecasting it either.
Operator: Your next question comes from Vincent Andrews – Morgan Stanley
Vincent Andrews – Morgan Stanley: Can you tell me what foreign exchange rates you’ve assumed in your guidance?
Cheryl Beebe: No.
Sam Scott: We don’t generally give that.
Cheryl Beebe: What I will say is that we look at what the top money center banks and the local banks are forecasting for the currencies. The current market level plus or minus a few percentage points is probably spot on.
Vincent Andrews – Morgan Stanley: You described the North American price in process this year what was different about it year over year if anything from a negotiating perspective?
Sam Scott: The thing that was different this year was that the pricing started much earlier. As a result of the run up that people were seeing in corn some of our customers wanted to book as early as July or August. We have some prices that were up based on $6.00, $7.00 corn. As the corn market continued to fall we have some prices based on mid $3.00 corn. It has been a wide open market that exists and we had to navigate our way through that and we have.
Vincent Andrews – Morgan Stanley: As you go to the tail end of the negotiations at the end of the calendar ’08 did the concessions become more tenuous based on the economic environment or were you still able to maintain a capacity utilization argument?
Sam Scott: A capacity utilization argument is there. Certainly our customers are a little concerned as to what their volumes will be. This is pretty much unprecedented in my time with this business where with so many people being laid off folks are not comfortable with their volumes right now so I think they may have reduced their commitments to some extent. As we went through the negotiations the negotiations went as would be expected. They were pretty much completed with the exception of those that have to be done early first quarter which is always the case but they were completed by pretty much year end, first week of January.
Operator: Your next question comes from Christina McGlone – Deutsche Bank
Christina McGlone – Deutsche Bank: In terms of the guidance is the top end attainable today with strong execution or does something have to happen like volumes have to pick up or co-product prices have to increase?
Sam Scott: With very strong execution and some of that the top end of the guidance is there. Strong execution will certainly help and we’re working on that right now. We’re looking at costs across the board. We’re looking at new product introductions faster which will help us. We see a number of things that we can do to execute and get to the upper end of the range, I won’t say the top end of it. Certainly we also believe as we talked earlier that there is the possibility that co-products could strengthen. Obviously it could weaken as well but we’re pretty low right now. That would give us a little further boost. If in fact the economy turns around fast not only from the volume perspective but the international markets we will be able to pass through and get greater volumes to help that business. Right now we don’t see that as being something so that’s why the guidance.
Christina McGlone – Deutsche Bank: I wanted to talk about South America, I remember last time we had. A few years ago there was the issue where meat demand was down and so the co-products going into the meat markets were down then you had competing tapioca going into your markets. I’m wondering are you seeing the same situation happen now because of lower meat production. Back to Christine’s issue on the higher costs in terms of corn because of the Argentine crop is that occurring again or is it not so much of an issue this time.
Sam Scott: Last time when we saw that there were a couple of things impacting it; one was we had some diseases both in the bird flu and mad cow situation. Both of those almost stopped production of certain meat products in South America. In addition to that was a time that we had a more than record tapioca crop in South America. Neither one of those two things exist right now. We’re not seeing a major reduction at all, in fact that’s one of the areas as we look at the currencies being favorable the reduction in currencies, the devaluation if anything with the developing world still eating meat and some of those countries being the major exporting markets we’re seeing reasonable business there. Certainly as corn prices increase, if in fact they do in South America, then it could be favorable to us because that’s going to be what is normally fed to those animals anyhow. The competing raw material would be higher price then what it is we’re feeding in. It’s not a problem from that perspective and the issue specific to what you were talking about was something unique to that time.
Christina McGlone – Deutsche Bank: In terms of capacity utilization in the US you had mentioned before lower demand for industrial starches and fructose demand is down. Where is this extra grind going to?
Sam Scott: The most recent data would reflect the utilization numbers still in the mid 80’s for fructose finishing capacity which is what we said before. The incremental grind right now some of its still going to ethanol. The ethanol market is off; the facilities have been shut down at the dry mills not the wet mills. The grind balance is still relatively solid. I don’t know that that’s going to change as we go forward.
Christina McGlone – Deutsche Bank: Can you update us what you do think for interest expense and the tax rate for ’09?
Cheryl Beebe: The tax rate, it’s the ultimate forward looking statement. I would expect the tax rate to be around the 34%, 33% and its driven by the operating income mix as well as if there’s any statutory tax rate changes which is what we saw in the fourth quarter. Korea actually dropped their statutory tax rate. I would expect the 33%, 34%. With regards to interest expense, I’m not seeing a big difference in the gross interest because I expect that the cash flow will pay down the incremental debt that we have for the working capital. The question becomes do we go into the market and refinance. Current indications would be around 7.50% to 8.50% which would basically replace the 8.25% that we have. I would say that the interest expense is still running around $11 or $12 million per quarter. I would not expect to see the FX gain which was derived from our Mexican and Canadian business relative to their debt and corn positions.
Operator: Your next question comes from David Driscoll – Citi Investment Research
David Driscoll – Citi Investment Research: I missed the first few moments of the conference call. Did you talk about the search for the CEO or your successor?
Sam Scott: No, I did not.
David Driscoll – Citi Investment Research: Can you please?
Sam Scott: The search is on. The Board is looking; they’re being very diligent in their process. As I think I’ve mentioned to most of our shareholders we have inside candidates and outside candidates and the Board is working through it.
David Driscoll – Citi Investment Research: What’s the timeline?
Sam Scott: There’s no specific one. I’ve told them that I would stick around as long as they wanted me to.
David Driscoll – Citi Investment Research: Can you tell me what was the EPS impact of the unusual co-products in 2008?
Cheryl Beebe: Two thousand eight versus 2007 is estimated at $0.40. It’s the first three quarters.
David Driscoll – Citi Investment Research: If we’ve got $3.52 in earnings for the year and I know that’s a GAAP number there might be some adjustments but give or take. You’ve got the mid point of the range at $2.35 that puts us at $1.17 differential between these numbers. Co-products then is I would want to back off that $0.40 and now we’ve got $0.77 left over.
Cheryl Beebe: I would make one comment. I think the impact on the co-products 2009 versus 2008 is going to be more then that $0.40. That’s what’s reflected in this guidance.
David Driscoll – Citi Investment Research: Help me out there I don’t understand.
Cheryl Beebe: If I look at the way that corn oil prices ran up through 2008, feed and meal and then the way that they’ve come down its that year over year comparison. If corn oil stays at $0.22 per pound versus the 2008 you’re going to get a much bigger hit then the $0.40.
David Driscoll – Citi Investment Research: If we were just to ballpark this thing would double that number something like $0.80 is that in the vicinity of what you guys are thinking in the guidance?
Cheryl Beebe: I’d say it’s at a minimum the $0.80.
Sam Scott: It’s closer than the $0.40 is yes.
David Driscoll – Citi Investment Research: On the foreign exchange side when I look at the quarter I think the quarter had -10% impact to sales.
Cheryl Beebe: That’s correct and it was primarily the Korean. We started to see the South American currencies drop as well.
David Driscoll – Citi Investment Research: Is it fair to say that that’s probably a reasonable run rate to use for the next three quarters?
Cheryl Beebe: I think its going to get worse again because if you look at the comparisons quarter by quarter the fourth quarter of ’08 versus the fourth quarter of ’07 is that range of 20% to 30%. If you go quarter by quarter and look at the current exchange rates versus first quarter last year it’s more dramatic.
David Driscoll – Citi Investment Research: When I was just ball parking numbers here I was trying to again put some type of EPS number on this foreign exchange the delta in foreign exchange minus $0.30 was the ballpark that I was coming out with. Are you about in that area or it sounds like maybe you would be perhaps a little bit more negative then minus $0.30.
Cheryl Beebe: I would say a tad bit more negative then you’re $0.30. If you look at it if you’re trying to reconcile the EPS its top one is the co-product change, second one is the currency, and the third is volume.
David Driscoll – Citi Investment Research: The volume seems to be a distant third then the first two.
Cheryl Beebe: That’s correct. Absolutely.
David Driscoll – Citi Investment Research: Going back to this when we think about on a go forward basis EPS is all over the map. Thinking about this over the course of time maybe you don’t know right now today, it’s very reasonable to say that you wouldn’t know how fast you can recover pricing. Over some course of time the experience in the past is that you will. This foreign exchange number how strongly do you feel that at some point we can add this back to the estimate. If it’s something like $0.30 to $0.40 impact in 2009 I am tempted here to want to say that the 2010 number just to pick a year it could be later, who knows. You would add that number back to start to formulate the basis for a ’10 expectation.
Sam Scott: I think that that’s a fair assessment of where we are. We’ve said continually since I’ve been in this job for eight years now, we’ve said we’ve been able to get back devaluations in a reasonable length of time. As I said earlier, the way we do it is through pricing and the combination of our volume and our customer’s volumes picking up. That’s not changed. Certainly, I believe that we will get it in a timeframe we just don’t know what it is right now. When we thought about giving guidance we thought about not giving guidance at first then we thought it was better to be able to share with you and give you more clarity around what we thought the year would look like so that we could talk through these issues. Certainly the currency issue, whether its six months or 18 months I believe will be somewhere in that timeframe we believe we can get it back.
David Driscoll – Citi Investment Research: When you talked about the North American price increase you of course indicated that it did not cover the change in year over year net corn costs. One concern that we hear a lot is how long can the business model continue to sustain significant increases in pricing. Can you give us a sense here do you see a limiting factor on why you would be unable to continue to achieve further price increases in successive years? Is there anything such as the customers are at a point where they would substitute a way to sugar or something like that. I’d love to hear your perspective.
Sam Scott: We said earlier that we thought we could pass through the price increase even if $6.00 or $7.00 corn in the environment that we existed in mid year and we did that. Certainly the cap on where we are would be sugar prices and the world’s sugar prices have been going up over the last couple of weeks, months. Certainly the US sugar support has numbers in the US that would be reasonably decent levels on sugar. I think we as an industry probably have prices move as long as we’re not capped out by sugar pricing at that point in time. Looking forward I don’t see anything that stops it. Utilizations have not deteriorated substantially although as I said, volumes could be off this year a little bit which would obviously take it down a little. I think that will bounce back as the economy comes back. The net of the business has not changed dramatically from where we were if you go back into the beginning to the first half of 2008 other than the fact there’s an awful lot of uncertainty around and we’ve had a corn market or commodities market that’s pretty much collapsed. As far as pricing goes, utilizations go, I think that this business can come back and it’s not going to take forever to do it.
David Driscoll – Citi Investment Research: Bottom line if you sum this all up we’ve got a company that has a super clean balance sheet, significant cash flows coming in 2009. You still have to believe that you have pricing power in your US business and this foreign exchange hit is massive in the year $0.30, $0.40 something like that per share and that will eventually be recovered over the course of time given previous experience. You would agree with all of that?
Sam Scott: I would agree with that and I tried to say some of that in my prepared remarks but that’s pretty much what we see right now.
Operator: Your next question comes from Ken Zaslow – BMO Capital Markets
Ken Zaslow – BMO Capital Markets: What is your work day like now versus a year ago?
Sam Scott: About the same to be honest with you. When one puts on a hat that starts moving to retirement you start thinking about it. Then when you get slapped in the face and throw you back in the seat you do exactly what you did before.
Ken Zaslow – BMO Capital Markets: Nothings changed, you’re still doing exactly what you have been doing?
Sam Scott: I’m doing exactly what I was doing before for the last six or seven years. The credit with respect to my staff, even they know I’m a lame duck they’re still treating me the same way they did last year which is beat the living daylights out of me constantly.
Ken Zaslow – BMO Capital Markets: In terms of the currency impact I know you danced around it and how you phrase it is very good. Of the impact that you’re getting are you expecting any recovery this year? It depends on which question you answered, it depends on how I interpret it. Last question you sounded like you weren’t expecting any recovery. The first question it sounded like you expected some recovery this year. How does it work out?
Sam Scott: Given the guidance it would reflect what we think we can get this year. David’s question was do I see it coming back at some point in time, the answer is definitely. I just can’t predict right now, when. I was walking by the screen one day and the real moved almost 5% while I was watching it. I stood there for an extra 10 minutes just to see what was going to happen. Those kinds of things I’ve never seen it happen like that before except for when you had a massive devaluation. We have taken our best guess both as Cheryl said through the experts we use here and the local knowledge we have in our countries to put together what we think it will be. That has been included in our guidance.
Ken Zaslow – BMO Capital Markets: Of that how much do you expect to be recovered this year? X%, 10%, 20%.
Sam Scott: Of what?
Ken Zaslow – BMO Capital Markets: Foreign exchange negative.
Sam Scott: I can’t comment on that other than the guidance we’ve given. That’s why we put a range on it.
Ken Zaslow – BMO Capital Markets: In terms of nice acquisitions what’s a nice acquisition?
Cheryl Beebe: A nice acquisition is one that actually is at a reasonable price, number one. Hopefully there are some assets out there that are off the highs that we were seeing in 2007 and in 2008 that actually complements the business. As Sam has said consistently we are looking to grow the Asian division. That’s what I was referring to.
Sam Scott: Things that help push forward the strategy that we have for moving more to an ingredient philosophy, health and wellness area. Right now there are a number of things out there certainly in Asia. We’re talking to a number of people right now. We’re not looking at any major investment. We talked historically about our strategy would be bolt on acquisition types and that’s what we’re looking for.
Ken Zaslow – BMO Capital Markets: In terms of Asia, particularly South Korea, what is it going to take for that business to ever generate good returns on a consistent basis that you could sleep well at night on that business? It seems like every year we have some new problem with that. Obviously this year is unique in its own situation but is it even worth keeping?
Sam Scott: Yes, it is worth keeping. The issue has been last year we got whacked with much higher corn costs and we know that. We’ve shared that with you, the fact that it was running up. We have to buy corn well in advance in South Korea because you have to get it there and you have to sit on it and make sure its there. We’re sitting with a relatively high corn costs inventory in South Korea right now. Utilizations we talked to right along they have to come back and this economy is not helping at all. We’re living with those kinds of things right now. The currency situation all of it went against us. We were working to get the business back in shape and as we said to you on a considerable number of calls we made changes over there, we’ve done what we needed to do. Everything keeps driving it further down. We are looking at further opportunities to strengthen the business and we will continue to do that.
Ken Zaslow – BMO Capital Markets: Do you really want to hold the business that you have to worry about? Does anything about your South American business as bad as currency is, as bad as it is eventually you know it comes back. The South Korean business doesn’t seem to be coming back any time soon and it seems to be more of a macro play then your market share and your ability to execute. Maybe it’s more of a comment then a question.
Sam Scott: It’s a comment that has validity to it. We have to look at where we go with respect to what has to happen in that business and we have to see where it goes. Just like any other business we will evaluate it on the merits and see where it goes. We believe we can turn it around. It has taken longer because it’s a different market environment but there are a number of things that are going right and when the world collapsed around us we had some problems in that business. We will keep working to get it back on track and we believe we can do that.
Ken Zaslow – BMO Capital Markets: I know you talked about acquisitions, what about being acquired by Bunge, it seems like, have talked started to come back again, it seems like your stock is 50% of theirs. It seems like one plus one each of you guys are having your own difficulties maybe some cost savings and other logistical benefits that came out during the process would be beneficial. Any thoughts there?
Sam Scott: You know I’m not going to comment on that. I’ll just pass on it.
Operator: Your next question comes from Ann Gurkin – Davenport
Ann Gurkin – Davenport: In the fourth quarter you highlighted softer volumes, can you comment in a little more detail on that, is there any one area that was weaker than expected or any other detail you can give us.
Sam Scott: It was pretty much across the board. By region we saw pretty much the same kind of numbers. I think it was an overall slowdown.
Ann Gurkin – Davenport: Can you talk about prospects for your sweetener derived from CFL any update there?
Sam Scott: Moving forward. The engineering continues forward. We know where it’s going to go in and we expect it will still be on schedule which we originally said was going to be about 18 months. We’re probably 16 months away. We are selling some product right now. We have small samples and we are selling some. We’ve gotten as much as we can from the person that we’ve licensed the product from and we’re in the market to a very small extent at the moment.
Ann Gurkin – Davenport: Long term do you still see the trend globally for many economies moving and the value chain consumers moving up the value chain is that trend long term still viable?
Sam Scott: As far as we can tell, nothing has changed on that. I just don’t believe when a developing world really starts to develop with a hiccup that it’s going to go back. People have tasted protein, tasted food, and it’s going to continue to go that way. We’re just in the middle of something right now that’s going to slow it down. Even that we believe people will find a way to do something. They eat less of it but they’re going to be going after it still.
Operator: Your next question comes from Heather Jones – BB&T Capital Markets
Heather Jones – BB&T Capital Markets: The volume weakness you saw in Q4 was there a significant further deterioration in volumes going into Q1 in any of your regions?
Sam Scott: You mean where we are now?
Heather Jones – BB&T Capital Markets: Yes, I think you were down 2% to 2.5% in North America for Q4 I believe that was the number I remembered. Did that weaken substantially from where you are so far in Q1?
Sam Scott: It’s a little early right now so that we’re monitoring where we are and the things are okay. The one thing that is unusual about Q1 is the weather conditions in North American business. We’ve never seen weather like this in a long time with as cold as it is. You do have a combination of the recessionary impact on the industrial side of the business which obviously talked about for the last four or five months. We’ve also said normally we are recession proof on the food side of the business and although we saw volume reduction we didn’t see as much volume reduction perhaps that some other industries have seen depending on where they are. Right now there’s around what impact the weather is having on our business as compared to what impact the recession is having on the business.
Heather Jones – BB&T Capital Markets: Going back to the delta year on year in earnings guidance talking about the impact from lower byproduct values being closer to $0.80 then $0.40 on a year on year basis. I presume you’re talking about on a gross basis and so on a net basis given the pricing you took in North America would byproducts and foreign exchange be in the same ballpark or would on a net basis byproducts still dwarf the other two?
Sam Scott: On a net basis it dwarfs it. We were talking on a net basis with respect to the co-products.
David Prichard: We are at the bottom of the hour and therefore with no further questions we will go ahead and conclude our conference call and our webcast this morning. I do want to remind you there is a replay of this webcast and that’s at www.CornProducts.com. There is also a replay of the audio conference call and that’s available through Friday, February 13th. The phone number is 719-457-0820 and you’ll need the pass code of 6130549 for that audio conference call replay. On behalf of Sam and Cheryl thank you very much for participating in our call this morning. Have a good day.
Operator: That does conclude today’s conference thank you for participating and have a wonderful day.